Operator: Good morning and welcome to the PennantPark Floating Rate Capital Fourth Quarter 2020 Earnings Conference Call. Today's conference is being recorded. At this time, all participants have been placed in a listen-only mode. The call will be open for a question-and-answer session following the speakers' remarks.  It is now my pleasure to turn the call over to Mr. Art Penn, Chairman and Chief Executive Officer of PennantPark Floating Rate Capital. Mr. Penn, you may begin your conference.
Art Penn: Thank you, and good morning, everyone. I'd like to welcome you to PennantPark Floating Rate Capital's Fourth Fiscal Quarter 2020 Earnings Conference Call. I'm joined today by Aviv Efrat, our Chief Financial Officer. Aviv, please start off by disclosing some general conference call information and include a discussion about forward-looking statements.
Aviv Efrat: Thank you, Art. I'd like to remind everyone that today's call is being recorded. Please note that this call is a property of PennantPark Floating Rate Capital and that any unauthorized broadcast of this call in any form is strictly prohibited. Audio replay of the call will be available by using the telephone numbers and PIN provided in our earnings press release as well as on our website. I'd also like to call your attention to the customary safe harbor disclosure in our press release regarding forward-looking information. Today's conference call may also include forward-looking statements and projections, and we ask that you refer to our most recent filings with the SEC for important factors that could cause actual results to differ materially from these projections. We do not undertake to update our forward-looking statements unless required by law. To obtain copies of our latest SEC filings, please visit our website at www.pennantpark.com or call us at (212) 905-1000. At this time, I'd like to turn the call back to our Chairman and Chief Executive Officer, Art Penn.
Art Penn: Thanks Aviv. First, we hope that you, your families, and those you work with are staying healthy. I'm going to spend a few minutes discussing how we fared in the quarter ended September 30. How the portfolio is positioned for the upcoming quarters, our capital structure and liquidity, the financials. Then open it up for Q&A. Despite the challenging economic conditions brought on by the pandemic, we are pleased with our performance this past quarter. We achieved a 3.2% increase in adjusted NAV as our portfolio continued to improve during the quarter. We have several portfolio companies in which we have substantial equity positions who are benefiting from the K shaped recovery. This is solidifying and bolstering NAV. Over time rotation of debt equity into debt instruments should help grow PFLT's income. We will highlight those companies in a few minutes. Additionally, we've been pleased with the stable performance of our long-term securitization CLO financing through COVID. Debt financing has continued to perform well and is well matched to finance our senior debt positions, which we believe are among the lowest risk in the industry. As a result, we are exploring using the same type of financing to grow and efficiently finance PSSL JV, which should generate additional income for PFLT. The combination of potential income growth from equity rotation, and the larger more efficiently financed PSSL should help grow PFLT's net investment income relative to dividend over time. Those factors combined with strong portfolio performance through COVID and $0.22 spillover had led us to conclude that we will be keeping our dividend steady at this point. Although, we never predicted a global pandemic, as you may know, we have been preparing for an eventual recession for some time. Prior to the COVID-19 crisis, we practically positioned the portfolio as defensively as possible. Since inception, we've had a portfolio that was among the lowest risk in the direct lending industry.
Aviv Efrat: Thank you, Art. For the quarter ended September 30, net investment income was $0.27 per share. Looking at some of the expense categories, management fees totaled about $4.8 million. Taxes and general and administrative expenses totaled about $1.1 million and interest expense totaled about $5.5 million. During the quarter ended September 30, net unrealized appreciation on investments; we had about $20 million or $0.51 per share. Net realized losses were about $4.7 million or $0.12 per share. Net unrealized depreciation on our credit facility and notes was $0.22 per share. Net investment income was lower than the dividend by $0.02 per share. Consequently, GAAP NAV went from $12.16 to $12.31 per share. Adjusted NAV excluding the mark-to-market of our liabilities was $11.81 per share up to 3.2% from $11.44 cents per share last quarter. Our entire portfolio, our credit facility and notes are mark-to-market by our Board of Directors each quarter using the exit price divided by any independent valuation firm exchanges or independent broker dealer quotations when active markets are available under ASC 820 and 825. In cases where broker dealer quotes are inactive, we use independent valuation firms to value investments. 
Art Penn: Thanks Aviv. To conclude, we want to reiterate our mission. Our goal is a steady, stable and protected dividend stream coupled with the preservation of capital. Everything we do is aligned to that goal; we try to find less risky middle market companies that have high free cash flow conversion. We capture that free cash flow primarily in first lien, senior secured instruments, and we pay out those contractual cash flows in the form of dividends to our shareholders.
Operator:  We take our first question from Paul Johnson at KBW.
PaulJohnson: Hey, good morning, guys. Thanks for taking my questions. Congratulations on the Cano Health acquisition. It's obviously very positive news yesterday. But I just kind of I have few question here today. And over the last few quarters no investments have obviously been fairly new investments originations have been fairly muted, understandably so. I'm just kind of curious so now you're back sort of within the leverage range target? What is sort of your outlook for new investments going forward? Can we expect to see maybe more active origination and then also on that, for any sort of new investments that you are looking at today? What is the environment that you're seeing? Are you still able to extract the same sort of covenants that you were -- in terms that you were before? Has that diminished? But, yes, any commentary on that would be very helpful.
Art Penn: Perfect, thanks. Thanks, Paul. Yes, look, we -- for last couple quarters, we've been evaluating the economy and our portfolio, and we are indeed back actively originating deals for both PFLT and PSSL, we also are getting repayments, of course, as part of that so the wheels of commerce are starting to move again. And we're out there actively looking and doing deals. So target leverage is still kind of in that 1.5x zone debt-to-equity as we say, we think our portfolio is among the lowest risk in the industry. You could see it in the yields kind of our first lien typically is a lower yielding first lien, maybe more of a classic first lien and then some of the others, which means we believe that we can comfortably be in that 1.5x levered zone and feel very safe and feel like it's prudently capitalized and judicious in terms of the debt-to-equity ratio, because the risk we're taking is lower than most and is lower than the industry. In terms of kind of the risk reward we're seeing, again, remember another definitional thing. We tend to focus on companies with between 15 and 50 EBITDA average, EBITDA of $20 million to $30 million in this portfolio, we like staying away from the fray of the broadly syndicated loan market, which has bounced back very dramatically, where it's all covenant lie where yields are low, or EBITDA adjustments are back and where leverage is high. And some of our bigger brethren who have to write bigger checks and the bigger companies are up competing against the broadly syndicated loan market and accepting lower covenants, lower yields, more EBITDA adjustments and et cetera with us. We always got covenants, even pre-COVID. We're getting tighter covenants now. We're getting fewer EBITDA adjustments, the adjustments, if we accept them are thoroughly diligence, we're seeing more equity from our sponsors, we're seeing more yield. So the whole package of risk adjusted return that we're seeing today versus pre-COVID is better, and much better, which is why we say we like this vintage. We think this vintage of next year two or three, where we play in the middle market, is we think it's -- it could be similar to 2009 to 2012. I don't think it's going to be as good as 2009, where the average debt-to-EBITDA was 3.3x, our Central Bank and the fiscal authorities reassured that we weren't going to repeat that 2009 again, but we think that this upcoming vintage will look a lot like 2009 to 2012. So we're excited about what we're seeing and we are active.
PaulJohnson: That's good, that's very good to hear. Do you ever see a time where obviously, you guys have built a very high quality, more conservative like you said, traditional first lien portfolio, but in that environment that you sort of described, do you see any opportunity or do you have any thoughts around potentially getting slightly more aggressive to enhance sort of the portfolio yield or top line return? And talking about potentially doing maybe slightly more aggressive deals? Or more second lien? Do you have any thoughts on that?
Art Penn: Yes, look, I think we're going to stay away from second lien in this portfolio. And I think we're going to be cautious about stretch your senior for us, as you could see PFLT itself, we would prefer to have a lower risk, low reward portfolio, and maybe have the leverage a little bit higher, 1x and 1.5x in some of our brethren. So, I think that's the way we think about, every once in a while, of course, we will, if we think we have a real angle, the real edge, or special situation we may do a little bit more to  senior from time to time or unitranche. But I think we're going to specifically stay away from second lien as in this particular portfolio.
PaulJohnson: Okay. And then on the JV, I think quarter-over-quarter, I think you guys have been taking the leverage down actually for the past few quarters in this inside of JV, I noticed that the return this quarter, at least what was paid out to the BDC was relatively stable from last quarter, maybe up slightly. Is that kind of the return that we can expect going forward in terms of where the leverage is at on the JV and what return? It's splitting out? Or do you guys have any other plans as far as the JV goes?
Art Penn: Yes, so and I highlighted this, try to highlight this in the script. So let me be clear, we again, same thing with PFLT, the last x number of quarters, we've been waiting to see how the economy did, wanted to see how our portfolio did. And one of the nice things out of all this is that our securitization, CLO financing in PFLT has been terrific. It's been a great way to finance these lower risk assets. And we're going to explore with PSSL using the same type of financing. And we're going to explore growing PSSL; from where it is today about $400 million to something like $550 million, maybe $600 million with a total portfolio utilizing the securitization style financing that works so well for us over PFLT. So in terms of NII growth at PFLT itself, and PSSL we will hope that growing the portfolio, and using securitization financing can be a big part of that. 
PaulJohnson: Got you. And then, finally, I'm just actually very curious as far, I don't know, if you have any commentary around the stock market, obviously, that's becoming very popular this year, it's grown significantly. Do you see that as a potential meaningful driver of more middle market acquisitions such as Cano Health? Or this more of being, I guess, in the middle market may be not as highly prized than an acquisition for like a spec company. But, yes, any sort of thoughts you have on that acquisition? And as it could potentially be a driver of further exits in the portfolio?
Art Penn: Yes. Look, I mean, I think, like our view is the stock market is it's really just another form of an IPO. And the stocks and IPOs that do well they were to go well anyway, or the specs for IPOs, that wouldn't have done well, wouldn't have done so in the case of Cano, it's been such a high growth business and the addressable market for what they do is so enormous, that an IPO of some sort made a lot of sense for the company, because of its growth trajectory, and it's -- the white space that that it has out there. So there's also a comparable out there that Oak Street Health, which is a great company, trades in an $11 billion to $12 billion market cap. And if you line up Cano against Oak Street, and you look at revenues, EBITDA, members, medical loss ratio Cano lined up very favorably to Oak Street Health, which is a terrific company. So it's quite possible that Cano could over time trade in line even better than Oak Street Health. So to us that makes, we we're not experts in IPOs. You guys may be more experts, but it seems like it's an attractive deal from the get go. But as importantly, or maybe more importantly, there's not -- there's a lot of runway on the upside for Cano; both in this market as well as where it trades versus as comps.
PaulJohnson: Great. And actually, one more if I may, I think I may have mentioned this in your prepared remarks, but I didn't possibly catch it. Do you know the percentage of your portfolio that has LIBOR floor?
Art Penn: Yes, it was in our prepared remarks. It is you want; it's 86% of LIBOR floor, 86%.
Aviv Efrat: That is correct. That's one of the prepared remarks. Yes. LIBOR floor is 1% but about 86, yes.
Operator: We take our next question from Mickey Schleien of Ladenburg.
Mickey Schleien: Good morning Art and Aviv. I just wanted to follow up quickly on the senior loan fund, a calculated blended ROI taking into account the equity and the debt investments of little north of 9%. Are you satisfied with that level of return? Or are you looking for something higher than that with more leverage on that balance sheet? 
Art Penn: Hey, it's a great question, Mickey, obviously, over the last few quarters, we've specifically wanted, again, to see our portfolio did, see how the economy went, which is why we are looking to grow PSSL back up again to larger entity and using the securitization financing potentially to finance that. So I think over time, we're going to target 11%, 12% on that vehicle.
Mickey Schleien: That's a blended sort of ROI. 
Art Penn: Finding on the, yes, obviously piece of paper, yes.
Mickey Schleien: Okay. And, Art could you be a little more specific about the advantages of the securitization versus the credit facility in that fun? Because I'm no expert like you guys. But I'm curious, what are the features that attracted to that?
Art Penn: It's just very efficient, it's low cost. And it's kind of permanent financing, it's not permanent, but it's long-term financing. And there's a box and there's no individuals you need to talk to, there's no credit guys, you may have a sleepless night or two, and it's just the box. And if we're comfortable in our underwriting, which we are, where we like that box for what we're doing in this portfolio, the lower risk, low reward deals as we looked at kind of the amount of triple C's that we got through this time period with very little very well, I think, if you looked at the equity return on that -- granted the CLO in this case, the equities run by PFLT, I think we had something like a 20% return on the equity, because this transcend the underwriting and the underlying box. 
Mickey Schleien: That's a very solid number relative to what I'm seeing elsewhere. 
Art Penn: Yes, the Triple C basket kinds of you have up to 17.5% in middle market. I think we're like 8% something like that. So it's for us, because our underwriting works, it's a very good box.
Mickey Schleien: So are the bucket paraphrases and are you suggesting that it's just perhaps an easier piece of capital to manage from your perspective?
Art Penn: Well, that's part of an overall mix as we look up at PSSL, and we'd love to grow PSSL, it could be part of the overall mix of PSSL and PFLT along with credit facilities, and along with bonds occasionally. So we believe in diversified financing tools, we're just saying kind of here we are kind of eight or nine months into COVID. And we did our CLO over PFLT, I guess, last September, and then COVID hit in March. It's performed very, very well. So we're taking that as a data points. And that's really interesting for us; maybe we should use that technology over PSSL.
Mickey Schleien: Understand. And just in terms of the mechanics, I haven't done the math, but I imagine most of the senior loan funds, assets are in the borrowing base for the credit facility, right? So how do you extract those assets? And form the CLO and what is the timing of all of that?
Art Penn: Yes, that's a great question. We're starting to explore now, don't have a firm answer. But obviously the banks who are involved in PSSL are our partners, and we're going to be talking to them about partnering on kind of growing PSSL including the securitization, including a new revised credit facility. So all this is in play, and it's something over the next quarter or two, we're going to hopefully finalize.
Mickey Schleien: Okay, so it sounds like it's sort of mid next year sort of timing to put it all together.
Art Penn: I'm hoping earlier, but that's fine for your expectations and assume mid next year, maybe we have a shot at being better.
Mickey Schleien: And just a couple of sort of more housekeeping questions. Your cash on your balance sheet is built up? Is that to make the principal payment on the CLO notes are due next month?
Art Penn: We have an amortization payment on the Israeli bonds and they are coming up in the next month. So that's what --
Mickey Schleien: Perfect CLO, okay, so that will be paid on cash.
Art Penn: Yes.
Mickey Schleien: Okay. And if I'm not mistaken, last quarter, you said average EBITDA on the portfolio was 35 to 40. And I think you just said 20 to 30 this quarter maybe my previous numbers wrong, but where's the ballpark for the portfolios out there?
Art Penn: We are working, Mickey, we're doing that piece now. The mean is what I gave you last quarter in that 35 to 40. The median is more like 25.
Operator: We'll take our next question from Devin Ryan at JMP Securities.
Devin Ryan: Great. Few of our questions were asked but maybe just ask one here on non-accrual and credit. I am just curious how you guys think about the broader portfolio to the extent we have another shutdown here. COVID related disruption and also to just read in some context on the first lien loans to marketplace advance and I know, a little bit of pressure there in the quarter, and just whether there's been any dialogue with the sponsor and whether they may be adding more support. 
Art Penn: Yes, so thank you. Thank you, David, and nice to meet you. I look forward to spending time with you as you take on the BDC and so welcome into the industry. So marketplace event is finalizing its restructuring as we speak. So hopefully, by next quarter, I'm pretty sure by next quarter, that restructuring will be done and that will move off to . And that particular name, the lenders are going to be taking control of the company injecting capital to be able to get the company through to the other side. When against inevitably start coming back. Certainly it's about as clear as much today as the one event start coming back. But events will come back and we think that's a really great company in space and more. We're actually happy to make that equity investment in marketplace events. PRA is an event planning company, again, events related. That is in restructuring talks right now as we speak.  Again, that probably comes off non-accrual next quarter looks like the sponsors injecting equity in that one to help that company. So those are -- that's two of the three non-accruals. Both of them are kind of in the event space. In terms of outlook, it's we think it's going to be relatively light, of course, there's going to be non- accruals from time to time that it hit this portfolio. But we don't think there's anything particularly abnormal. We think that the COVID impacts to the extent there were had been identified as I had been or are being dealt with, and or kind of already baked into the pie here.
Operator: It appears there are no further questions at this time. Mr. Penn, I would like to turn the call back to you for any additional or closing remarks.
Art Penn: Just want to thank everybody for being on the call today. We appreciate it. And we will because we had a late reporting period this quarter. And suddenly only a relatively short time until early February when we have our next quarter's number. So looking forward to speaking everybody then. Thank you very much.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.